Operator: Ladies and gentlemen, thank you for standing by, and welcome to Accenture's Fourth Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded. And with that, I'd now like to turn the conference over to Managing Director of Investor Relations, KC McClure. Please go ahead.
KC McClure: Thank you, Doug, and thanks, everyone, for joining us today on our fourth quarter and full year fiscal 2012 earnings announcement. As Doug just mentioned, I'm KC McClure, Managing Director of Investor Relations. With me today are Pierre Nanterme, our Chief Executive Officer; and Pamela Craig, our Chief Financial Officer. We hope you've had an opportunity to review the news release we issued a short time ago. Let me quickly outline the agenda for today's call. Pierre will begin with an overview of our results. Pam will take you through the financial details, including the income statement and balance sheet, along with some key operational metrics for both the fourth quarter and the full year. Pierre will then provide a brief update on our market positioning. Pam will then provide our business outlook for the first quarter and full fiscal year 2013, and we will take your questions before Pierre provides a wrap-up at the end of the call. As a reminder, when we discuss revenues during today's call, we're talking about revenues before reimbursements or net revenues. Some of the matters we'll discuss on this call are forward-looking, including the business outlook. You should keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements and that such statements are not a guarantee of our future performance. Such risks and uncertainties include, but are not limited to, general economic conditions and those factors set forth in today's news release and discussed under the Risk Factor sections of our annual report on Form 10-K and quarterly reports on Form 10-Q and other SEC filings. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include reconciliations of those measures, where appropriate, to GAAP in our news release or on the Investor Relations section of our website at accenture.com. As always, Accenture assumes no obligation to update the information presented on this conference call. Let me turn the call over to Pierre.
Pierre Nanterme: Thank you, KC, and thanks, everyone, for joining us today. We are very pleased with our financial results for the fourth quarter and full fiscal year, which enabled us to meet or exceed our annual business outlook for all of our key metrics. Our strong performance demonstrates that our growth strategy continues to differentiate us in the marketplace and that we are running our business with a focus on delivering value to shareholders. Pam will provide details on the fourth quarter and the full fiscal year in a moment. Here are a few highlights for the year. We delivered record new bookings of $32.2 billion. Revenue growth was strong and broad-based across our business, with an 11% increase in local currency to $27.9 billion, also a record. Earnings per share were a record $3.84, up 13% and at the top of our guided range. We expanded operating margin 30 basis points to 13.9%, also at the top of our guided range. We generated exceptionally strong free cash flow of $3.9 billion and continued to have a very strong balance sheet, ending the year with a cash balance of $6.6 billion. We continue to return cash to shareholders, with more than $3 billion in share repurchases and dividend payments during the year. And we just announced a semi-annual cash dividend of $0.81 per share, which is a 20% increase over our prior dividend. Clearly, we continue to execute extremely well across all dimensions of our business, and I want to take this opportunity to recognize the contribution of the leadership team of Accenture, which is totally committed to our clients and to our success. Now let me hand over to Pam, who will review the numbers in greater detail. Pam, over to you.
Pamela J. Craig: Thank you, Pierre, and thanks to all of you for listening today. I am pleased to give you some details on Accenture's fiscal year 2012 fourth quarter and full year financial results. We finished the year strong across key dimensions. We had record bookings in consulting and outsourcing and a quarterly total, for the first time, of over $9 billion. Our free cash flow as we crossed year end was outstanding. And most notably, we were able to meet or beat all of the elements in our original annual business outlook provided a year ago. Now let's get to the numbers for the quarter and the fiscal year. Unless I state otherwise, all figures are U.S. GAAP except the items that are not part of the financial statements or that are calculations. New bookings for the quarter were a record $9.2 billion, and that level of bookings also notably reflected a negative 9% foreign exchange impact compared with new bookings in the fourth quarter last year. Consulting bookings were $4.3 billion, and outsourcing bookings were $4.9 billion, both individual records. As Pierre mentioned, new bookings for the full fiscal year also hit an all-time high of $32.2 billion, $1.2 billion above the upper end of the range we signaled in June. These bookings reflected a foreign exchange impact of negative 3% compared with new bookings for fiscal '11. Consulting bookings for fiscal '12 were $16.6 billion, and outsourcing bookings were $15.6 billion. Let me give you some details on bookings in the fourth quarter, first in consulting. In management consulting, bookings were strong this quarter, particularly in the Americas and some parts of Europe. They continued to include a greater proportion of larger projects of longer duration with a focus on business outcomes. The strongest growth in bookings was for sales transformation and for finance and enterprise performance work. Technology consulting bookings reflected demand for network transformation, data center consolidation, desktop transformation and IT strategy, all to drive cost savings and increase the business value of IT spend. We see more significant opportunities to capture here, and this is being focused on by our technology leaders. System integration bookings were the highest for as long as we've been tracking them. Bookings continued to reflect client demand to implement and modernize both ERP and industry-specific systems, which is also creating platforms for advanced analytics work, driving more business value. We also see clients evaluating their legacy application portfolios, which is leading to growing demand to build and integrate Software as a Service or SaaS and other cloud solutions. And our clients' demand for mobile, digital and Web solutions across multiple types of devices is becoming more and more pervasive. Emerging technology trends are gaining momentum. Turning to outsourcing. Technology outsourcing bookings continued to be very strong and broad-based across our operating groups and geographically across the Americas, Asia Pacific and parts of Europe and Africa. We continue to work closely with many, many clients around the world, not only to help them capture immediate cost savings, but to turn fixed costs into variable costs and to improve their IT effectiveness as they continue to work to transform their operations to become more competitive. BPO bookings were very strong, a quarterly record, driven by our cross-industry offerings, especially finance and accounting. Bookings were broad-based across most of our commercial industries. Strong demand for our services was most pronounced in the Americas, including in the U.S. where we have our industry-specific solution and credit services. Our BPO business built momentum all year long in fiscal '12, with strong bookings driving increases in market share each quarter, and the business is well positioned going into FY '13 as well. Finally on bookings, we had bookings of over $100 million at 11 clients, with all 5 operating groups represented. Turning now to revenues. Net revenues for the fourth quarter were $6.84 billion, an increase of 2% in U.S. dollars and 9% in local currency over the same period last year. As we had expected, these revenues reflected a foreign exchange impact of negative 7% compared with Q4 last year. These revenues were at the upper end of our guided range of $6.6 billion to $6.85 billion and reflected growth in local currency in all 5 of our operating groups in the fourth quarter. Consulting revenues were $3.74 billion in the fourth quarter, down 4% in U.S. dollars and up 2% in local currency. We had strong local currency growth in Asia Pacific, single-digit local currency growth in the Americas, and we're just under flat in local currency in EMEA. Outsourcing revenues were $3.1 billion, an increase of 10% in U.S. dollars and 18% in local currency. We saw a strong double-digit growth in local currency in all 3 geographic regions and across the majority of our industry groups. Net revenues for the full fiscal year were $27.9 billion, an increase of 9% in U.S. dollars and 11% in local currency. Consulting revenues for the full year were $15.6 billion, an increase of 4% in U.S. dollars and 6% in local currency. And outsourcing revenues were $12.3 billion, an increase of 16% in U.S. dollars and 19% in local currency. I'm pleased with the net revenue results delivered in fiscal '12 and how we continue to rise to the challenge of meeting our clients' evolving needs. I'll take you through some Q4 details by operating group. Financial Services revenues increased 16% in local currency. Outsourcing revenues reflected very significant growth in the Americas and Asia Pacific across all 3 industries: banking, insurance and capital markets. Consulting revenues, which reflected strong growth in insurance, grew modestly as the gains outweighed declines in banking in the Americas and EMEA. In banking, transformation needs continue to evolve as a key driver of future demand. Consulting revenues also included the recognition of revenues related to higher-than-normal precontract costs incurred in Q3, as I mentioned last quarter. Health & Public Service revenues increased 10% in local currency, reflecting very significant growth in health again this quarter, with strength in both consulting and outsourcing and across geographies. Our investments in health are paying off. Our health offerings are resonating in the market. Public Service had modest growth again this quarter, reflecting good demand for our offerings in some parts of Asia Pacific and globally in consulting for human services. Growing our Public Service business is still challenged in other parts of the world as we continue to reposition this business for the future. The Products operating group, our largest, had local currency revenue growth of 8%, driven by very strong growth in outsourcing globally in both our technology and BPO offerings. From an industry perspective, growth was driven by retail, life sciences and industrial equipment in all regions. Both the Americas and Asia Pacific grew double digits. EMEA grew modestly as strong outsourcing growth was offset by a modest consulting decline again this quarter. Resources revenues grew 7% in local currency, with growth across all industries, led by energy and natural resources. Strong growth in outsourcing reflected demand for flexible, cost-effective sourcing to meet increased demand in ongoing operations. Consulting growth moderated but continued to reflect solid global demand for operating model programs and a focus on driving short-term efficiencies. In utilities, we are building momentum with our Smart Grid offerings to support our clients in advancing their energy efficiency programs. Communications, Media and Technology revenues increased 4% in local currency. Very strong outsourcing growth was driven by our clients' continued focus on improving the efficiency of their operation. Outsourcing growth included a short-term increase related to a contract with a client in Europe, which will ramp down throughout FY '13. CMT's consulting revenue declined in all 3 regions. This was most pronounced in EMEA and in communications globally, where certain communications clients are -- continue to move away from building core IT system capability for traditional markets and to move toward more value-added services. In emerging markets and in high-tech globally, there is renewed system integration activity to build core capability on new platforms. Moving down the income statement. Gross margin in Q4 was 32.9% compared with 33.1% for the same period last year, a 20-basis point decrease. Gross margin for the full year was 32.3% compared with 32.9% in fiscal '11, a decrease of 60 basis points. Higher contract profitability was more than offset by investments in offerings and acquisition. Sales and marketing expense for the quarter was $839 million or 12.3% of net revenues compared with $821 million, also 12.3% of net revenues for the fourth quarter last year. And sales and marketing costs for the full year were $3.3 billion or 11.9% of net revenues compared with $3.1 billion or 12.1% of net revenues in fiscal '11, a decrease of 20 basis points. General and administrative expense was $469 million or 6.9% of net revenues compared with $472 million or 7.1% of net revenues for the fourth quarter last year, a 20-basis point decrease. G&A costs for the full year were $1.8 billion or 6.5% of net revenues compared with $1.8 billion or 7.1% of net revenues in fiscal '11, a decrease of 60 basis points year-on-year. Operating income was $940 million in the fourth quarter, reflecting a 13.8% operating margin. This compares with $923 million, also 13.8% operating margin in the fourth quarter last year. Full year operating income of $3.9 billion reflected a 13.9% operating margin compared with $3.5 billion or a 13.6% operating margin for fiscal '11, a 30-basis point year-over-year expansion. In continuing to manage our business to modest margin expansion, we executed well to drive profitable growth, to invest in our business, including in gross margin, and to manage our cost structure in a disciplined way, i.e. to grow it at a rate less than revenue. This is what we set out to do, and we delivered. In terms of operating groups, Health & Public Service operating income decreased year-over-year in Q4, and operating margins fell due primarily to delivery inefficiencies on a few contracts, some write-offs in our Public Service business in U.S. federal and investments in health initiatives. For the full year, I am pleased to again note that Products posted strong year-over-year operating income and operating margin gains and also that Resources delivered very strong operating income and margin all year long. Our effective tax rate for the quarter was 32.8% compared with 27% for the fourth quarter last year. The higher rate in the fourth quarter of this year was due to increased reserves and a change in the geographic mix of income. The year-to-date effective tax rate was 27.6%, in line with our annual guided range of 27% to 28%. Net income was $636 million for the fourth quarter compared with $683 million for the same quarter last year, a decrease of 7%, and the decrease was driven by the higher tax rate. For the full year, net income was $2.8 billion compared with $2.6 billion in fiscal '11, also a record this year and an increase of 11%. Diluted earnings per share were $0.88 compared with $0.91 in the fourth quarter last year. The $0.03 decrease is made up of a $0.03 increase from higher revenue and operating results, including the unfavorable impact of foreign exchange this quarter; a $0.03 increase from a lower share count; which was more than offset by an $0.08 decrease from a higher effective tax rate; and a $0.01 decrease from lower nonoperating income. For the full fiscal year, diluted earnings per share were $3.84 compared with $3.39 in fiscal '11, an increase of 13% and at the top end of our guided range of $3.80 to $3.84. The $0.45 increase is made up of $0.40 from higher revenue and operating income, including the impact of foreign exchange; $0.08 from a lower share count; offset by $0.02 from a higher effective income tax rate; and $0.01 from lower nonoperating income. Turning to DSOs. Our days services outstanding were 27 days, down from 30 days both from last quarter and from Q4 last fiscal year. This was unusually low and did include an uptick in client prepayments. Free cash flow for the quarter was $1.6 billion rounded, resulting from cash generated by operating activities of $1.7 billion, net of property and equipment additions of $115 million. For the full fiscal year, free cash flow of $3.9 billion rounded was about $400 million above the top end of our previously guided range. This significantly higher level reflected better-than-expected DSOs, as I just mentioned, and also reflected the operating results in the quarter. Cash from operating activities was $4.26 billion, and property and equipment additions were $372 million. Moving to our level of cash. Our cash balance at August 31 reflected the strong cash flow and was $6.6 billion. It compares with $5.7 billion at August 31 last year. Moving to some other key operational metrics. We hired more than 60,000 people in fiscal '12 and ended the year with a global headcount of about 257,000 people. Our Global Delivery Network grew from 141,000 people at the beginning of the fiscal year to 162,000 people at the end. In Q4, our utilization was 87%, consistent with Q3. Attrition, which excludes involuntary terminations, was 12%, down compared to 13% in Q3 and down from 14% in Q4 last fiscal year. Before I turn things back to Pierre, I'll provide an update on how we performed in FY '12 on our ongoing objective to return cash to shareholders through share repurchases and dividends. In the fourth quarter, we repurchased or redeemed approximately 12 million shares for $696 million at an average price of $58.18 per share. For the full year, we repurchased or redeemed 36.6 million shares for $2.1 billion at an average price of $57.32 per share. In fiscal '12, we delivered on our commitment of returning cash to shareholders. The total was $3.05 billion, reflecting $2.1 billion in share repurchases and $951 million in dividend payments we made during the fiscal year. Our weighted average diluted shares came down 2.1% over the fiscal year. Earlier today, we announced that our Board of Directors declared a semi-annual cash dividend of $0.81 per share. This dividend will be paid on November 15 and represents a $0.135 per share or 20% increase over the previous semi-annual dividend we declared in March. To sum up, we delivered all year. We executed our strategy, stayed close to our clients and were mindful of our costs. All of this allowed us to respond well to the stronger demand for outsourcing and moderated demand for consulting that evolved during the year. I'm very proud of Accenture people and their extraordinary ability to drive our business in a way that serves both our clients and our shareholders so well. So let me turn the call back to Pierre to give you a brief update on some exciting things going on in our business, and then I'll finish up with our initial business outlook for fiscal year '13.
Pierre Nanterme: Thank you, Pam. As our very strong results for fiscal year '12 demonstrate, we are executing our growth strategy in a focused and disciplined way, providing differentiated services that create tangible and measurable value for our clients. Although the global economic and geopolitical environment remains volatile and uncertain, the diversity of our business continues to serve us very well. We are working with clients across 40 industries and more than 120 countries, providing a full range of market-leading services. We have an unmatched depth and breadth of industry skills, with 153,000 people in our operating groups and growth platforms aligned with specific industries. As demonstrated by our record new bookings, we are seeing strong demand for services. Our clients continue to invest in transforming their operations to address the challenges presented by the long-term trends of globalization, regulation, rationalization and technology innovation. To help our clients address these challenges, we combine our unique capabilities across management consulting, technology and business process outsourcing to provide highly differentiated industry-based end-to-end services. Let me bring this to life with some recent wins in the marketplace. We are helping Oi, one of the Brazil's leading communications providers, drive greater operational efficiency and transform its business. In addition to managing their billing and collection, finance and accounting, HR and supply chain functions, we are also leveraging analytics to target further process improvements to lower costs and improve quality across their business. We are working with BP, the global energy company, to consolidate and run its finance and accounting function across Europe and North America. We are standardizing reporting and metrics and using advanced analytics to drive greater insights into the business with the goal of improving business controls, transcending risk management and reducing operating cost. And at the same time, we continue to invest in building our industry expertise. I'm pleased to report that just this week, we completed the acquisition of Octagon Research Solutions, a provider of clinical and regulatory information management systems. The acquisition significantly expands the range of services we provide to pharmaceutical clients, enhancing our ability to help them achieve more efficient global regulatory submissions and enabling them to get medicines to market faster and at a lower cost. I'm also pleased with the progress we made in fiscal year '12 in the fast-growing areas of cloud analytics and mobility, where we are now operating at scale in response to increased demand from our clients. In cloud, through a 5-year contract valued at more than $280 million, we are helping a major global client completely transform its sales, customer service and delivery functions worldwide. The new cloud-based solution is part of the client's efforts to increase revenue and customer satisfaction while also reducing operating costs. In mobility, we are helping a leading company in the energy industry develop and roll out advanced mobile applications for its global workforce of more than 25,000 employees. The program will enable staff in remote locations to use mobile devices to access customer information in real time, significantly increasing efficiency and improving customer service. As you know, geographic expansion is another key dimension of our strategy. We continue to invest in growth markets, both mature under-penetrated markets as well as our priority emerging markets. In fiscal year '12, we made good progress in our 10 priority emerging markets, increasing revenues 16% in local currency. We are particularly pleased with the growth in China, South Africa, Brazil and India, where we are executing very well and gaining market share. I would also like to highlight our excellent results in the United States, which continues to be our largest market and delivered strong revenue growth of 13% for the year. And of course, we continue to run Accenture as a high-performance business, with a relentless focus on value, cost management and productivity to further improve our own efficiency and competitiveness and deliver on our commitments to shareholders. With that, I will turn it back to Pam, who will provide our business outlook for fiscal year '13. Over to you.
Pamela J. Craig: Thank you, Pierre. I'd like to first share with you some thoughts on how our business is shaping up for fiscal year '13. We see very good opportunities in most markets around the world, and our Q4 bookings and healthy pipeline confirm this and position us well as we move forward. At the same time we remain very vigilant about understanding the impact of the evolving global macroeconomic environment, we will continue to be focused on managing our global business tightly. For fiscal '13, we expect growth rates in outsourcing to continue to be higher than in consulting based on the book of business we have and the opportunities we see. While our consulting bookings have been solid in recent quarters, we anticipate they will continue to convert to revenues at a slower rate going forward as they did in the latter part of fiscal year '12. Our outlook components and our intent to update you quarterly remain the same for fiscal '13. We will continue to provide a quarterly outlook for revenue so that you have a basis for understanding our quarterly-phasing expectations during the year. So for the first quarter of fiscal year '13, we expect revenues to be in the range of $7.1 billion to $7.35 billion. This assumes a foreign exchange impact of negative 3% compared to the first quarter in fiscal '12. Our revenue outlook in Q1 reflects growth in 4 of our 5 operating groups and a slight decline in revenue for Communications, Media and Technology. We do anticipate that CMT will return to growth later in the fiscal year based on recent bookings and how new business is shaping up. Let me turn to our assumption for foreign exchange for the full fiscal year. Based upon how the rates have been trending over the last couple of weeks, we currently assume the impact of foreign exchange on our results in U.S. dollars to be negative 1% for fiscal '13 compared to fiscal '12. This assumes the weakening dollar we've seen over the last few weeks. If the dollar were to return to the levels of a month ago, the FX annual headwind could be more like negative 2%. We will update the annual foreign exchange assumption each quarter. For the full fiscal year '13, we expect Accenture's net revenue to grow in a range of 5% to 8% in local currency over fiscal '12. For the full fiscal year '13, we are targeting new bookings to be in the range of $31 billion to $34 billion. As you know, our bookings can be lumpy from quarter-to-quarter. In fiscal year '13, we expect operating margin to be in a range of 14.0% to 14.1%, a 10- to 20-basis point expansion. We will continue to balance profitability with making investments to position our business for the future. You should expect some fluctuations quarter-to-quarter as we've seen in the past. We expect our annual effective tax rate to be in the range of 26% to 27%. In determining next year's expected rate, we have evaluated our projected geographic mix of income, our reserves and some future final determination. For earnings per share, we expect full year diluted EPS for fiscal '13 to be in the range of $4.22 to $4.30 or 10% to 12% growth. Now let's turn last, but not at all least, to cash flow. As you know, we had very strong cash flow at the end of fiscal '12, which reflected an unusually low level of DSOs, 27 days at the end of Q4. We have reflected a more normal level of DSOs in our forecast for fiscal '13, i.e. a few more days. We have also decided to provide a substantial discretionary contribution, $500 million, to our U.S.-based defined benefit pension plan during the first half of fiscal '13. So taking these things into account, for the full fiscal year, we expect operating cash flow to be in the range of $3.2 billion to $3.5 billion, property and equipment additions to be $420 million and free cash flow to be in the range of $2.8 billion to $3.1 billion. To give you just a little more on our thinking about capital allocation, we are on course to continue our strategy this fiscal year to both invest in our business to grow as well as to return a substantial portion of our cash to shareholders. I will share more with you on this topic at our Investor and Analyst Day in 2 weeks. So in conclusion, we're staying focused on what matters most, driving value for our clients and for our shareholders. We look forward to having some of our business leaders around the world share more details at our Investor and Analyst Day. So KC, let's take some questions.
KC McClure: Thanks, Pam. [Operator Instructions] Doug, would you provide instructions for those on the call, please?
Operator: [Operator Instructions] Our first question is from Tien-Tsin Huang with JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: I want to ask or, I guess, better understand how the bookings will convert to revenue. Pam, I know you mentioned that there's some slower conversion there. Can you just help us better appreciate that, how we can track that? And then, more importantly, just reconcile your bookings guidance with your revenue guidance. Any change again in book-to-bill or any other metric that we should consider?
Pamela J. Craig: Yes. Well, first of all, in the book-to-bill, we were sure pleased with those in Q4, 1:1 in consulting, probably about 1:6 in outsource. So I think one of the things I mentioned, that in consulting, we do see what's being booked be sort of larger, longer-duration things. And those do convert to revenue just as a basket slower because there's less of the little or faster converting stuff in the mix. So we do expect that trend to continue.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Right. So as I think about -- so the -- I guess the correlation between bookings growth and revenue growth, is it fair to say that's going to break down a little bit next year? Because it sounds like it's getting a little bit more complex, I guess.
Pamela J. Craig: Yes, I mean, I think bookings are lumpy, right, and I think that we did have a number of large things. I mentioned we had 11 clients where we had bookings of over $100 million. So some of those are big things over a longer time period. And so I think it's hard to correlate it exactly just in terms of then trying to sort of link that to a revenue growth rate in the first quarter.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Okay, okay, fair enough. Maybe just a quick follow-up just in terms of contract profitability and cost containment. No surprise on the margin guidance. But I'm curious, contract profitability has been a big help here. Is there still room to go on that front? Or are there going to be some different levers to pull for margin expansion in fiscal '13?
Pamela J. Craig: Wail, we'll never give up on contract profitability and particularly pricing, and then how we continue to manage our costs and look at the whole value equation for clients. So I think that is -- definitely continues to be a push for us. But at the same time, in terms of managing our business to operating margin, we're going to be looking for those efficiencies in SG&A to continue.
Operator: Our next question is from Darrin Peller with Barclays.
Darrin D. Peller - Barclays Capital, Research Division: Just on a high level first maybe for Pierre. Your growth rates overall are clearly above industry average and clearly above your peers'. Can you just give us some specific color on some of these 11 large contracts you've won in the sense of what was the driver of you winning that? I mean, your market share gains are noticeable at this point. And maybe some specific examples of what, in an RFP, you showed that others did not. And is that sustainable? And then maybe just to follow up on the similar question to the -- specifically to the Financial Services vertical given the growth, how strong it was there.
Pierre Nanterme: Yes, sure. It's excellent, Darrin. Regarding, I mean, what's differentiating us in the marketplace and I think it's reflecting in the 2 illustrations I mentioned previously with Oi and BP. First is our constant focus on large global companies. Second is indeed what we see from a transformation standpoint in the marketplace. And to drive transformation for such large clients, you need to combine multiple capabilities, if you will. And this is what we do with those 2 illustrations from MC technology, BPO, AO. And on top of that, we're bringing things such as the cloud or such as the advanced analytics. So I think we have a unique positioning so far, which is resonating very well with our clients and differentiating us in the marketplace of combining capabilities, operating at scale, working for those very large global organizations and really focusing on bringing an outcome. FS is a good illustration of what's going on. FS, as you know, Financial Services, and especially banking in Financial Services, but it's true for insurance, are industries facing significant transformation from a regulatory standpoint, of course the Solvency II, the Basel III, but as well from an operational standpoint. And again, we are very pleased with what we're doing, especially from an outsourcing standpoint, where outsourcing bookings as well as revenue growth was very good. And it's reflecting again our positioning in supporting those large organization in some major transformations. So that's what's explaining our current differentiation.
Darrin D. Peller - Barclays Capital, Research Division: In financials, just to be clear, I mean, so regulatory drivers is a major variable as well as just, I mean, overall cost optimization in transformation? Is there any other major drivers we should just keep in mind for that segment just given how strong it's been?
Pamela J. Craig: I mean, those are the major ones. And particularly in banking, frankly, insurance has been strong for us for a number of quarters now. Just one other thing I'd like to just point out because, I mean, these were really strong results in Financial Services, is they did include just a couple of things from a compare perspective that I should point out. First of all, we talked to, last quarter, a little bit about precontract costs. And of course, these are costs that were in the quarter and then the revenues came through in this quarter. So that had maybe only just about a 2-point impact on Financial Services. We also made 2 fairly sizable acquisitions in the beginning of last year, and those had done really well. I mentioned the Credit Services business, which has really come on strong this year.
Operator: Our next question, Rod Bourgeois with Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: So I do -- I'll just say wow in response to your bookings results. And I have a question on the bookings front as well. After the blowout bookings in the August quarter, are you now somewhat needing to replenish your sales pipeline? And should we expect bookings growth to potentially be sort of artificially low in the November quarter after all of the strong bookings that you posted in the August quarter?
Pamela J. Craig: Well, Rod, first of all, I don't know about the word artificially. I think there's always some lumpiness to our bookings. That said, I think what I was pleased about is that the pipeline is still up quite nicely. I think it's only really in the very big deal. We also look at the very big deal pipeline, where we do indeed need to do some replenishment. But that would be pretty normal and natural at this point after that quarter of bookings. We even had a couple, frankly, that came in early, right? We expected them in Q1. They came in, in Q4, which was fantastic. And so there is a little bit of that. And so yes, the bookings in Q1 will be lower, but I wouldn't say -- I wouldn't use the artificially word.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Right. But you did have some deals that were somewhat pulled forward faster than you normally would occur at this time of the year?
Pamela J. Craig: Yes, 1 or 2. Not -- again, that -- it's not like it's some big thing.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then, Pam, can you give us an update on your contracted revenue growth? And then as we look at the growth outlook for consulting versus outsourcing, are you confident that consulting year-over-year growth in constant currency can remain positive for each quarter in the next year?
Pamela J. Craig: I am confident that it will be positive for the first quarter and for the year. And that's, I think, how it will come out. I mean, the first quarter at this point, I see low positive single digits. It could be sort of as low as flattish, but we do see positive. And for the year, low- to mid-single digits positive. In terms of our visibility, we do see, as we look forward over the next 4 quarters, that contracted revenue is up 9% over last year. Interestingly, beyond that, contracted revenue was up 13% more than the prior year as we looked at that. So that just points at this longer-duration thing that's going on with some of the bookings. But the 9% gives us confidence with the 5% to 8% revenue -- projected revenue growth.
Pierre Nanterme: Thanks a lot, Rod. And I had the same reaction like you. I said, "Wow" when I saw the 9% in front of our bookings for Q4.
Operator: Our next question is from Julio Quinteros with Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Real quickly, just in terms of the headcount build as you think about fiscal 2013, just maybe you can reconcile. The headcount build for the end of the year seems a little bit slower at least versus what we were looking for. I'm trying to reconcile that against, obviously, the record bookings and the record finish to the year here. So just help us think through what is in the pace of the headcount adds relative to the pace of bookings at this point in terms of a little bit -- looks like a little bit of a slower number there.
Pamela J. Craig: Yes, I didn't necessarily see it as slower. I mean, I think if you look through the quarters of the year, we added 7,000 in the fourth quarter to our billable headcount, and that was more than any other quarter in the year. So, I mean, I think, Julio, I mean, we're doing what we're always doing, right, which is balancing supply and demand. We also have had good results with attrition, right, and that has meant that we haven't had to hire as many people.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: That makes sense. And then what about for fiscal '13? What's the kind of gross expectation for adds?
Pamela J. Craig: Probably a little bit less than this year. But again, with the lower attrition, that's the main driver of that and then just again how we see the business shaping up.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Got it.
Pierre Nanterme: And we're pleased with that if I would add. I mean, if we have lower attrition, it means that we will have less cost for recruiting people.
Operator: Our next question is from Moshe Katri with Cowen & Company.
Moshe Katri - Cowen and Company, LLC, Research Division: Just not to kind of beat a dead horse here, talking about bookings. Pam, do you think that the booking numbers are a function of improving demand, strong competitive wins maybe better execution from Accenture? And then you mentioned pricing briefly. Is that an important lever for you guys in order for you to continue to this very mild expansion in EBIT margins on an annual basis? And maybe you can talk about how you can continue to kind of get that leverage from the pricing.
Pamela J. Craig: Yes, I mean, I think just one thing I'll point out and then I'm going to let Pierre weigh in as well. I mean, one of the things that I think is interesting is that our sole source wins have been averaging about 60% over the last few quarters. And I think that's up from sort of the 50% that we've been quoting in the past. So I think that our ability to drive really valuable propositions for clients to their specific business needs and shape those things, I mean, I think that, that has certainly helped us. But Pierre, why don't I let you give a little more here?
Pierre Nanterme: Yes, and that's exactly right. I mean, those bookings, obviously, are extremely important for us. It reflects that -- how we differentiate in the marketplace. We are winning against the competition, whether what we're selling is resonating with our clients, and I think this is where we are -- and of course, it's giving us the confidence moving forward as we're entering fiscal year '13. So I think what we see is our current positioning is strong in the marketplace with this combination of persistent focus on these large and global clients and bringing this combination of industry expertise together with technology leadership. And then end-to-end services to deliver tangible and measurable values. And today, this is what's the market is expecting from a company like us. And I'm indeed extremely pleased with the booking as the best proof point of our positioning.
Moshe Katri - Cowen and Company, LLC, Research Division: Great. And then on pricing? Any color there?
Pamela J. Craig: Yes. Pricing, interestingly, remains pretty stable in a competitive environment. And we're always going to be pushing on it where we can.
Moshe Katri - Cowen and Company, LLC, Research Division: Are there any specific areas where you think that you do have some of that leverage to bring it higher?
Pamela J. Craig: I mean, I think again, right, where you take a value focus and that's really strong, that's where it makes the most sense because then you're able to really generate the value for the client as well as for us. So that's the focus we try to take with it.
Operator: Our next question is from Bryan Keane with Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: Just want to ask about the Health & Public Service margin. I know it was lower. But it sounded like it was mostly onetime in nature, the write-down, so we shouldn't expect that going forward. Is that right, Pam?
Pamela J. Craig: Yes. It did include some onetime things. We did the delivery inefficiencies on a few contracts and some write-offs we had. So, I mean, that unit, the Public Service piece generally does trend a little lower anyway, but this quarter was impacted by those things.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. And then just following up on the headcount. I mean, net headcount was up about 9% year-over-year. If you hire about the same or a little less in gross adds, the -- lower than the 60,000 you hired this year, then that's going to moderate from the 9% for fiscal year '13. I guess the concern would be then what does that say about fiscal year '14 growth rate if that headcount growth is going to slow? Just maybe you could talk a little bit about that because maybe, there's some -- there's a break there between revenue and headcount that needs to be understood.
Pamela J. Craig: I don't think it really says much at all about FY '14 growth rates at this point. I mean, it's really based on where we need people, attrition and how the business is shaping up for '13. I mean, that's really it at this point.
Pierre Nanterme: No reason to be concerned. I mean, managing headcount is probably, I guess, there are many things we're doing that's right in Accenture, but there is something we're doing very well, which is managing supply-demand, productivity. We have a long experience of doing this. And indeed, it's all the combination of the productivity you expect, the supply-demand country by country, your pricing hypotheses. And you put all of this in our algorithm, if you will, and we believe that we are targeting the right headcount growth we need to deliver to our clients.
Bryan Keane - Deutsche Bank AG, Research Division: That's great to know because a lot of people look at that as a leading indicator of future growth. So if it does moderate, it doesn't sound like you guys are losing any confidence in the out year number.
Pierre Nanterme: Not at all.
Operator: Our next question is from George Price with BB&T Capital Markets.
George A. Price - BB&T Capital Markets, Research Division: Pam, the fiscal 1Q revenue guidance, if I'm looking at the math right, suggests constant currency revenue growth more like in the kind of 3% to 7%-ish kind of range, which is a little bit below the annual range. I guess in light of the macro uncertainty that's out there, particularly in Europe, how should we think about that in relation to the full year guidance? Is this kind of the slower ramp of bookings? Is it the compares? Are there any other factors or assumptions maybe you could talk through?
Pamela J. Craig: Yes, I think it's both of those and just how the consulting will continue to ramp up and bleed through during the year.
George A. Price - BB&T Capital Markets, Research Division: Okay. And I know that you talked about returning capital to shareholders. We'll get more at the Analyst Day. I don't know if you can maybe say anymore at this point perhaps qualitatively relative to fiscal '12.
Pamela J. Craig: What do you mean by qualitatively?
George A. Price - BB&T Capital Markets, Research Division: Just do you anticipate returning more to shareholders in '13 than '12?
Pamela J. Craig: Well, I will give you more details on it, but I think you could expect it to be more and be consistent.
George A. Price - BB&T Capital Markets, Research Division: Okay. And would Accenture ever consider levering the balance sheet at all, doing maybe more sizable share repurchase or special dividend, anything like that? I know that, that certainly has not been the thinking of the company thus far. But we've certainly -- with the debt markets the way they are, I've certainly seen more of that. Just curious of your thoughts on that.
Pamela J. Craig: Yes, I mean, I'm personally not a big fan of that because I think we will always look for ways to put our capital to work. It will be part of our program, of course. We've raised the dividend 20%, which you heard about today. We expect we will do approximately a 2% reduction in the shares outstanding. I mentioned that we're doing the discretionary payment for the benefit plan. And of course, we have an acquisition pipeline. So I mean, these are the things that we think are driving growth in our business and value to shareholders, and we're focused on those.
Operator: Our next question is from David Grossman with Stifel, Nicolaus.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Pam, I'm wondering if I could just quickly follow up on the bookings conversion question. That's something that you guys have been pretty consistently talking about all year. And I was just curious, do you view that as something as a cyclical outcome? Or is this something that perhaps reflects something more secular?
Pamela J. Craig: I think it reflects some shifting demand patterns in consulting, which ultimately, I think, are good in the sense of sort of this larger, more durable, more value-driven kinds of consulting bookings. And I think it bodes well for the medium term. So I think that's most of it. And I don't know whether that's cyclical or secular or what, but that is a demand pattern that we do see and that we view as very, very positive for us.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: And is that something that's pretty consistent through each of the verticals?
Pamela J. Craig: It's different in some ways through the verticals and also around the world. I mean, it does depend on -- and sometimes client by client, right, just depending on what their needs are, how much transformation they need to do. And then in other places, in some of the emerging markets, it's all about building scale for the first time. I mean, so it really does differ, but it's a scene that we do see really moving through the business at this time.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: And then just one question. Typically, in the 10-K, you disclose the annual spend on R&D. Do you happen to have that number for this year yet?
Pamela J. Craig: We do not.
Operator: Our next question is from Edward Caso with Wells Fargo Securities.
Edward S. Caso - Wells Fargo Securities, LLC, Research Division: We've been picking up some static and noise that several countries are becoming more protectionist in nature, sort of buy local. I wonder -- particularly India being one of them. I was wondering if that was becoming an issue for you. It seems like I've seen more local companies winning large awards lately and less wins for Accenture and IBM.
Pierre Nanterme: We are extraordinary local. We are French in France, we are American in the U.S. I think we have quite a unique combination of being global by nature. We are leveraging the scale of Accenture in terms of balance sheet, in terms of brand, in terms of finance, in terms of capability. But when it comes to delivering to our clients, we are extraordinary local, operating in more than 120 countries around the world. And we're operating in those countries with local leaders totally rooted in their business community very close to our clients. And that's the way we've been operating for a long time. And I think this is indeed pretty probably unique to our organization, this combination. As you know, we do not have any headquarters. Physically, we are all operating in our different countries. I'm operating from Paris when I'm in Paris. Here we are in New York. So that would be my answer. Now do I really see a trend that clients will turn to more local providers? I don't really see that, and definitely not for our clients, the global companies. Maybe that's something that might happen in other market segments. But if you take the market segment of the G2000, those companies are global by nature, and they are turning to global providers who could deliver [indiscernible] local countries.
Pamela J. Craig: And notably, our revenues in India were up quite nicely, as I believe Pierre pointed out.
Edward S. Caso - Wells Fargo Securities, LLC, Research Division: Great. My other question is around sort of -- the sort of a real new tech spending, investing, sort of cutting-edge stuff outside of retail, which really needs to do that. Are you seeing -- what sort of pace are you seeing relative to, say, a year ago as far as the commitment to sort of reach out with some of these new technologies? Or are the transformation deals you're doing sort of more traditional Accenture work?
Pierre Nanterme: I think what's interesting is first, those new technologies, I mean, combining the mobile, cloud, analytics, socials, are growing even faster for a reason than we expected, and we are very pleased with that. That's why I was extremely pleased to report our progress we're making in those new technologies and the fact that now we are operating at scale. The second point we have found very telling is if you take what you're calling more traditional deals, now all those deals, and whatever they are, BPO or big AO, will have a part of those deals in the form of analytics. And this is exactly the 2 illustrations I mentioned with both Oi and BP. You have different component of the traditional solution, if you will, together with elements such as advanced analytics to drive more rapidly to more tangible results and more value. So this is this combination which is now very interesting. And the fact that we could provide what you're calling the traditional services together with infusing those new tech in those deals is, again, I think, differentiating us from the competition.
Operator: Our next question is from Sara Gubins with Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: Within Europe, I'm hoping you can talk about what's incorporated into the outlook for 2013 for outsourcing versus consulting. And also, if you could just break down trends that you're seeing within Europe by country.
Pamela J. Craig: Yes, so we won't give you that breakdown in the outlook. But let me let Pierre give you some color on Europe, at least.
Pierre Nanterme: Yes, I'm now the specialist -- ultimate specialist on Europe as long -- anyone could understand what's happening in Europe. But, I mean, first, we are growing in Europe. I mean, you see our results in Q4 but as well in older years. I think the other thing that I'm really pleased with, if you take out Q4, we've been growing in most of the large countries in Europe. I'm thinking about the U.K., Germany, France, Italy, Spain. So when you look at this, we in Accenture are growing in those countries. From a trend standpoint, very pleased with our performance in terms of outsourcing. As you know, most of the European companies are facing large restructurings, and outsourcing is a good way for them to drive that transformation. Of course, we are watching more carefully what's happening in the consulting standpoint. But overall, I'm pleased with where we are in Europe, especially considering the challenges facing by that part of the world.
Sara Gubins - BofA Merrill Lynch, Research Division: Are there any markets that are dragging in particular that you'd highlight?
Pamela J. Craig: Interestingly, not really. The ones that showed declines are really small countries.
Operator: We'll go to the line of Joseph Foresi with Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Just one question, 2 parts. First, on the decision-making side. Any change at the small consulting contract level? And then I have just one more.
Pamela J. Craig: Yes, I think as I mentioned, Joe, the -- we do see a little less of that kind of stuff. So maybe some of those are getting deferred in different parts of the world, and it does differ by part of the world. For example, we see more of that in Europe. And shoot for the second.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And have you seen any change in that or any changes because of the election or anything like that?
Pamela J. Craig: In the U.S., not really, no.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And then the last one for me. You talked about CMT turning around, I think, in the second half of next year. Maybe you could just talk about what causes that turnaround.
Pamela J. Craig: Well, again, I think we did see -- as I mentioned, we had declines in consulting in CMT. And there's a lot of transformation going on in traditional communications companies. And so we're working closely with them, and that's leading to a lot of outsourcing work. Based on some of the work that's been booked, CMT did have record bookings in Q4. And just sort of the business shaping up, we do see it coming back. We see some interesting system integration work coming back, particularly as it relates to some of these tech trends. And so this is how we see it, that CMT will return to growth during fiscal '13.
Pierre Nanterme: Thanks again for joining us on today's call. As we enter fiscal year '13, I feel confident in the ability of Accenture to continue to drive profitable growth and deliver our business outlook for the year. Our long and enduring relationship with the world's leading companies, together with our global scale and highly diversified portfolio of business position us very well to win in the marketplace and continue to gain market share. And of course, key to our success are the skills and capabilities of the 257,000 Accenture men and women around the world who are focused on running our business with rigor and discipline, and I want to thank each and every one of them for delivering great business outcome for our clients every day. Finally, I would like to thank you, our investors, for your continued support and confidence in Accenture. We look forward to talking with you again next quarter and also to seeing many of you in person at our Investor & Analyst Conference in New York on October 11. In the meantime, if you have any questions, feel free to call KC. All the best. Talk to you soon.
Pamela J. Craig: Thank you.
Operator: And ladies and gentlemen, today's conference call is being made available for replay starting this evening at 7 p.m. in the Eastern Time zone. It will run until Wednesday, December 19, 2012. You can access our service by dialing 1 (800) 475-6701 or outside of the U.S. at (320) 365-3844. And in either case, enter the access code of 256202. That does then conclude our conference call for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.